Operator: Good morning and welcome to the Wave Life Sciences Fourth Quarter and Full Year 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this call is being recorded and webcast. I will now turn the call over to Kate Rausch, Head of Investor Relations at Wave Life Sciences. Please go ahead.
Kate Rausch: Thank you, operator. Good morning and thank you for joining us today to discuss our recent business progress and review Wave’s fourth quarter and full year 2021 financial results. Joining me today with prepared remarks are Dr. Paul Bolno, Wave’s President and Chief Executive Officer; Dr. Paloma Giangrande, VP, Biology and Platform Development; Dr. Mike Panzara, Chief Medical Officer, Head of Therapeutics Discovery and Development; and Kyle Moran, Chief Financial Officer. This morning we issued a news release detailing our fourth quarter and full year 2021 financial results and provided a business update. This news release and a slide presentation to accompany this webcast are available in the Investors section of our website www.wavelifesciences.com. Before we begin, I would like to remind you that discussions during this conference call will include forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause our actual results to differ materially from those described in these forward-looking statements. The factors that could cause actual results to differ are discussed in the press release issued today and in our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2021. We undertake no obligation to update or revise any forward-looking statement for any reason. I would now like to turn the call over to Paul. Paul?
Paul Bolno: Thanks, Kate. Good morning and thank you all for joining us. Today, I will begin with opening remarks. Mike, our CMO and Head of Therapeutics Discovery and Development, and Paloma, VP of Biology and Platform Discovery will then provide an update on our clinical and preclinical therapeutic program. And lastly, Wave’s CFO, Kyle Moran will discuss our financials. At Wave, we continue our journey building a leading genetic medicines company grounded in our innovative RNA therapeutics platform, PRISM. The platform today reflects nearly a decade of investment in entirely new chemistry, including our PN backbone modifications, which have the potential to disrupt the pharmacology of therapeutic oligonucleotides. Over the course of 2021, we made significant progress by bringing PN chemistry into the clinic with our three neurology candidates, as well as advancing PN chemistry within a new modality, our RNA editing AIMers. Today, we have a diversified portfolio that reflects the breadth of our platform. Clinical data this year will inform next steps for our neurology program and we are rapidly advancing our AIMers using targeted delivery for hepatic diseases starting with alpha-1 antitrypsin. Partnerships are an important component of our strategy to unlock value from our platform, pipeline and other assets such as our GMP manufacturing facility. In a growing number of preclinical studies, we have shown how PN chemistry benefits oligonucleotide therapeutics, including modalities outside of our core focus, such as RNAi. We are seeing significant interest and we expect 2022 to be an important year for executing on partnering opportunities. Just recently, we announced two peer-reviewed publications in Nucleic Acids Research, which described the incorporation of PN backbone modifications in stereopure oligonucleotide to improve potency, tissue distribution and durability of vector silencing in the CNS and for splicing in DMD. Our silencing paper was designated as a breakthrough article by the journal. Their acknowledgement of the strength of these data and the potential of our platform to impact the field is a significant milestone for Wave. We continue to define the broad applicability of PN chemistry for the potential therapeutic use. As we first shared at our Research Day last year, PN modifications can be applied to siRNA and it results in meaningful improvement as compared to state-of-the-art advanced ESP chemistry. On Slide 7, we show recent results that provide another compelling example, this time with HSD17B13 target. With a single dose of 3 milligrams per kilogram, we saw remarkable 80% HSD silencing that persisted out 14 weeks, while the comparator lost activity in the same time points in a transgenic mouse model. We also saw significantly greater risk loading of PRISM siRNA at all time points as shown on the right. These results are dramatically improved from our earlier hepatic discovery efforts prior to the introduction of PN chemistry. Our current portfolio includes multiple stereopure PN modified single-stranded oligonucleotides with and without targeted delivery conjugates. In the clinic, we are advancing WVE-004 targeting C9orf72 for ALS and FTD and WVE-003, an allele collective mutant Huntington candidate for patients with HD and a sensory mutation. These candidates are dosed intrathecally and will give us insight into potency and duration of effector biomarkers in the CNS. WVE-N531, our exon 53 splicing candidate for patients with DMD is administered intravenously and will provide insight into how PN modified compounds can improve muscle tissue concentration and hopefully the level and duration of exon skipping and dystrophin production. With AIMers, we are initially focused on hepatic indication and using targeted GalNAc mediated equilibrium, which is expected to enable subcutaneous dosing in the clinic. We are unique in our RNA-based editing approach as our GalNAc conjugated AIMers are short, stabilized with chemical modifications, including PN, and designed to engage endogenous ADAR enzymes. Success with any of our ongoing programs unlocked a broad universe of targets in the CNS, muscle and/or liver. We expect to share clinical data in 2022 for WVE-004, 003 and N531 to provide insight into clinical effects of PN chemistry that enable decision-making for each program. By using chemically modified guide strands to engage endogenous machinery, our RNA-based editing approach is distinct from others. We are very excited about the broad potential of AIMers. Our wholly-owned lead AATD program represents a significant commercial opportunity, with approximately 200,000 people carrying the homozygous PiMZ mutations in the U.S. and Europe Demonstrating clinical proof-of-concept in AATD would serve to de-risk additional monogenic diseases as well as open opportunities to address large patient populations through modulation of protein such as disruption of protein-protein interactions. When we build Wave, we recognized the growing momentum in RNA therapeutics and anticipated the value in having an internal GMP manufacturing facility. Our manufacturing team is made up of experts in oligonucleotide synthesis that have successfully delivered clinical supply for 6 global studies at Wave to-date. With this facility, we can support the supply of innovative oligonucleotide genetic medicines at all stages of product development with any chemistry that we are now evaluating, utilizing our additional capacity to support new partners. We plan to build on this capability throughout 2022. I’d now like to turn the call over to Mike Panzara for an update on our clinical pipeline. Mike?
Mike Panzara: Thanks, Paul. The addition of PN backbone modifications in the context of stereopurity and PRISM platform distinguishes our current clinical candidates, not only from our first generation programs, but from any other oligonucleotides in development today. Let’s start with a review of some of the preclinical data that support our view that judicious application of PN chemistry fundamentally alters the pharmacological profile of our oligonucleotides. I am going to use mouse and HP and human data from WVE-N531 to illustrate this point. As I will review, whenever comparing PN modified compounds to those using first generation PS/PO chemistry, PN chemistry consistently leads to increased exon skipping activity, increase in muscle exposure, longer half life and more durable effects. As described in our recent Nucleic Acids Research Paper, the addition of a few PN backbone modifications to compounds administered in mouse models boosted muscle concentrations and led to higher exon skipping and dystrophin protein levels when compared to compounds using first generation PS/PO chemistry. Notably, these improvements were seen both in diaphragm and heart muscles. And as noted in the same paper, we are seeing at a relevant human equivalent dose of approximately 6 milligram per kilogram administered every other week. That translated to a functional benefits and the double knockout mouse model. Building on these data, WVE-N531 currently in clinic utilized a similar PN and stereo chemical modifications while targeting Exon 53 to facilitate splicing in the muscles of boys with DMD mutations amenable to Exon 53 skipping. N531 was evaluated in multiple NHP studies similar to our first generation PS/PO compound, suvodirsen as part of the panel preclinical package required to support first-in-human studies. What’s been stunningly consistent is that regardless of dose level, higher concentrations of N531 are present in NHP muscle far in excess of concentrations observed in suvodirsen preclinical studies. The same applies to plasma concentration. This illustrates the properties of this PN modified compound to hold true and moving from a loaded model into a larger and more relevant species. The relevance of this comes from the ability of N531 to facilitate exon skipping and NHPs as shown here even at low dose levels. As a reminder, in the setting of healthy muscle as shown here, successful target engagement through detection of transcript is the goal to stroke and is not produced in this setting. At the lowest dose tested, 3 milligram per kilogram or a human equivalent dose of 1 milligram per kilogram, we confirm successful target engagement. This dose level was substantially lower than where we were able to detect target engagement with suvodirsen. Turning to our clinical study, we are fortunate to be able to evaluate plasma concentrations in an ongoing fashion given that the study is open label. In this setting, even at the starting dose, we are already seeing differences in the profile of N531 when compared to the profile of suvodirsen, with a substantial increase in plasma concentrations at a given dose level and a clear increase in plasma half life. We currently estimate the plasma half life of N531 to be at least a week as compared to less than 24 hours for suvodirsen. These data were collected following a single starting dose in our open label trial and dose escalation is ongoing. As mentioned, dose escalation is ongoing in this trial and we expect to begin multi-dose in the initial cohort once we have selected a dose level. We expect clinical data, including muscle biopsies, where we will compare the intracellular distribution of N531 to suvodirsen in 2022. Turning to the CNS, we have a similar profile with PN-modified oligonucleotide in preclinical studies, including increased potency in neurons and in mouse studies, extended durability of silencing enhanced tissue exposure in vivo. These data were recently published in Nucleic Acids Research, and as Paul highlighted, the paper was designated as a breakthrough. Focusing on clinical trial of 004 and our C9orf72 targeting candidate for the treatment of ALS and FTD is ongoing. In January, the Alzheimer’s drug discovery foundation or ADDF and the Alzheimer’s – and the Association for Frontotemporal Dementia or AFTD partnered with Wave to support our focusing on trial. This decision was based on review of our clinical study plans, preclinical data and expertise of our study team. We are pleased to partner with these organizations as we advanced this study to address these two devastating neurological diseases. As mentioned earlier, focusing on is ongoing. You may expect to share clinical data for 004 in 2022 to provide insight into PN chemistry and enabled decision-making for this program. Finally, I will spend a moment on HD. I am speaking to you from the Annual CHDI HD Therapeutics Conference, where later today I will be highlighting our ongoing select HD clinical trial evaluating WVE-003, our allele selected candidate for Huntington’s disease. Interest in the importance of preserving wild type, HTT in the context of Huntington knockdown is only growing, but some of the most recent data from Roche’s generation of HD program only fueling robust discussions about allele selective treatments. In a poster presentation yesterday, our team highlighted our breakthrough approach to measurement of wild type Huntington in CSF, a critical step with wild type HTT preserving treatments are to be developed. This assay is in place in the select HD study and we are in discussions with a variety of stakeholders working towards making the assay available for use in the community. As I mentioned, select HD is also ongoing and we expect to share clinical data for 003 in 2022 to provide insight into PN chemistry and enable decision-making for this program. I’d now like to turn the call over to Dr. Paloma Giangrande to provide an update on Wave’s AATD program. Paloma?
Paloma Giangrande: Thanks Mike. Hello, everyone. Today, I am excited to share some new preclinical data with you. As a quick review, alpha-1 antitrypsin deficiency or AATD is a genetic disease that results from a point mutation in dystrophin A1 gene, leading to misfolding and aggregation of mutant V-AAT protein in hepatocytes in the form of globules and lack of functional AAT in circulation. This results in progressive lung injury, liver injury or both. Our ADAR editing approach to correct AATD is focused on homozygous or Z patients that have highest risk of disease, achieving at least 50% RNA editing in hepatocytes is expected to result in levels of functional wild type M-AAT protein and serum that are in the range of a heterozygous or MZ phenotype with low risk of disease. Importantly, as the vast majority of AAT protein is produced in hepatocytes, we can leverage targeted GalNAc mediated delivery to address both liver and lung pathology. As shown on Slide 22, we have observed therapeutically meaningful levels of AAT restoration with AIMer treatment in a transgenic mouse model. In this study, we dosed GalNAc AIMers biweekly at 10 milligrams per kilogram for 19 weeks following initial loading doses. Shown on the right at Week 19, we observed approximately 60% RNA editing in hepatocytes with AIMer treatment, which resulted in total AAT protein level of 18.5 micromolar or fivefold higher than TBS controlled treated mice. Finally, mass spectrometry analysis confirmed that 70% of circulating AAT protein at Week 19 was wild type M-AAT protein. If we look to clinically validated GalNAc conjugated therapeutic oligonucleotides such as inclisiran, we would expect to see longer duration of effect in the clinic, which could potentially support less frequent dosing regimen. Next, we look to see if AIMer treatment had any impact on liver Z-AAT protein aggregate formation in this mouse model. As shown on Slide 23, histological analysis of liver biopsies indicates treatment with AIMers reduces accumulation of liver Z-AAT aggregates over time as assessed by Cy3 staining and IHC for Z-AAT polymers. We are very excited by these initial results and we are working on quantitative and additional liver function analyses. In summary, these results support the potential for AIMers to address key treatment goals for AATD with a subcutaneously administered redosable therapeutic. Other approaches currently under development do not address both gain of function and loss of function aspects of this disease, thereby creating a potential need for multiple therapy. In contrast, Wave’s AIMer approach addresses both aspects of this disease with a single therapy. We plan to select an AATD candidate and initiate IND-enabling toxicology study in the third quarter of 2022. I will now turn the call over to Kyle Moran, our CFO. Kyle?
Kyle Moran: Thanks, Paloma. We reported $1.8 million in revenue for the fourth quarter of 2021 as compared to $9.4 million in the fourth quarter of 2020. This decrease in revenue year-over-year is mainly due to the amendment of Wave’s collaboration with Takeda in October 2021, which discontinued the discovery research component of that collaboration. For the fiscal year ended December 31, 2021, we reported revenue of $41 million as compared to $20.1 million in the prior year. The year-over-year increase is primarily driven by recognition of revenue related to the $22.5 million for research and development services related to the Takeda amendment, which was accounted for in the third quarter of 2021 and received in October 2021. R&D expenses were $25.8 million for the fourth quarter of 2021 as compared to $30 million in the same period 2020. Research and development expenses were $121.9 million in 2021 as compared to $130.9 million in 2020. This decrease in research and development expenses in the fourth quarter and full year was primarily due to decreased external expenses related to our previously discontinued precision HD programs partially offset by increased internal and external expenses related to WVE-004, PRSIM including ADAR editing, and other ongoing programs. General and administrative expenses were $12.1 million for the fourth quarter of 2021 as compared to $9.7 million last year and were $46.1 million in total for 2021 as compared to $42.5 million in 2020. The increase in the fourth quarter of 2021 and full year was driven by increases in compensation-related and other external general and administrative expenses. We ended the fourth quarter with $150.6 million in cash, cash equivalents and marketable securities. We continue to expect that our existing cash and cash equivalents will enable us to fund our operating and capital expenditure requirements into the second quarter of 2023. As a reminder, this does not include potential milestones or opt-in payments under our Takeda collaboration. I will now turn the call back over to Paul. Paul?
Paul Bolno: Thanks, Kyle. At Wave, our vision is to bring life changing treatment to patients living with genetic diseases. We have built a robust and versatile platform for the rational design of oligonucleotide to target the transcriptome with multiple modalities and across different therapeutic areas. We are working to rapidly evaluate our PN modified candidates across CNS, muscle and soon liver and data to be shared this year will serve to inform next steps for each therapeutic program. Demonstrating clinical proof-of-concept of our platform this year unlocked new targets to expand our pipeline as well as deliver value for patients, caregivers and their families. With that, we will open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Salim Syed of Syed Mizuho. Please proceed.
Salim Syed: Great. Good morning, guys. Thanks for the color. Just a couple from me if I can. The – Paul, the – I understand you are not going to provide more granularity it sounds like around the timing of the various clinical datasets this year in ‘22. But if it would be helpful, I think if you can at least provide perhaps the order, if we know a general order of the catalysts and maybe the minimal level of data that folks should be expecting here in terms of number of cohorts or patients so that we can at least look at what you have on clinicaltrials.gov and perhaps get a sense of when we may get data? And then the second question is on the manufacturing facility. So, a couple of your peers, i.e., homology in a TAR have decided to sell their facility. I am curious here, are you thinking more or less along the same lines of selling or are you more biased towards what seemed like you noted in the slide of just having partners and doing some sort of contract manufacturing? Thank you.
Paul Bolno: Sure. I will take your last question first and then I’ll transition your first question to Mike. But as it relates to manufacturing, we have invested substantially over the last several years in building our capability internally, obviously, delivering multiple clinical candidates for Wave, but also beginning to evaluate the request from others to support manufacturing in our space in the field of oligonucleotide therapeutics. So, we are evaluating, building that with subsequent investment that comes with interest outside. So, I think the key for us is, whatever we do in terms of monetization, we will have two factors: one, obviously protect our ability to continue to deliver important therapeutics to our pipeline and not put our pipeline at risk; and two, make sure that is whatever we do financially is one way extending. So with those two parameters, we will be evaluating a number of opportunities over the course of 2022. As it relates to timing of data, we have been pretty consistent. The challenges with the adaptive design means data can come in at variable time points, but I will let Mike give some more color and clarity to the timing, Mike?
Mike Panzara: Yes. I mean, I think as Paul said, Salim, as the studies including as the DSMBs are reviewing data, they are making recommendations along the way, if we got to a threshold where it was a material change to the study, we would disclose. And in terms of the order, we haven’t – the reason we really haven’t been very specific there is they all seem to be tracking along the same overall timeline. They are all clustering together and they are all coming through and they are at each – the various as the cohorts are going through, they are each being evaluated. So, I think it’s really hard to pinpoint specific orders. And because we are driven by the data and once we have data that changes those programs, we will share those clinical data. And to your point about more granularity, I mean, we would share the data you would expect for 003, we would share Huntington, we would share neurofilament, I mean, for 004, polyGP, we are not, it’s not going to be just when we talk about sharing the data with the decision, it’s going to be meaningful data that you would expect to guide us for that next phase and make decisions.
Salim Syed: But Mike, if I can just push back on a little bit, I mean, you have to have a framework at this point, I would think in order to trigger, here is what we need to make a decision. Is it two cohorts? Is it three cohorts for the one – for the trials that have cohorts so that, what folks would call “robust” or is it simply like one cohort proof-of-concept we can move forward and make a decision – like is there minimal level of data that we can at least consider here?
Paul Bolno: I think, Salim, how you’re framing it, and I’m glad you followed up because I think it’s a really important new one, this study versus traditional study. So when you are laying out cohort by cohort, you are thinking of a traditional milestone design and data, which is get x number and then drop that as a milestone. The exactly design by the nature of it enables cohort’s flexibility in size, duration, dose. And so there is a parameter by which to Mike’s point of having data to make a decision does in itself imply that very specifically that data, that is powered to tell us that there is a decision to make on that program going forward. So by the nature of that it implies that the data is robust enough to be able to make a decision based on those biomarker and safety effects. It’s not driven by a specific cohort number, where we are going to be, it’s based on the actual data that is implicit to letting us make decisions. Mike, I don’t know, if there is any follow-up to that?
Mike Panzara: Yes. I was going to say is that the number of cohorts that we have will – it’s going to be based on the number of patients leading to be able to clearly say that this is a – there is a biomarker effect. It’s going to be based on the number of cohorts necessary to potentially achieve a maximal tolerated dose. And to create, I mean, we want to get to that optimal safety and target engagement point to be able to say definitively we have de-risked the next study. So, it will be enough patients to do that. The committee – the DSMB is allowed to add patients to cohorts if they feel like we need more data to fill out a cohort. But it’s going to be multiple cohorts. And it’s going to be enough data with enough number of patients to be able to make conclusions. It’s not just going to be a couple of patients here and there. The one study that I would mention is has that initial cohort that we have said on DMD, there we are looking at a biopsy in a small number of patients to see if we have made appropriate distribution before we proceed to a larger cohort or expansion cohort. That’s the one study that’s a little different than the other two. But the other two have multiple cohorts. So, you should expect to see multiple cohorts with adequate number of patients to be able to definitively see that we have the data to make – to take it to the next step or not.
Salim Syed: Okay, got it. Very helpful. Thanks so much for the color.
Operator: Thank you. Our next question comes from Julie of Truist. Please proceed with your question.
Unidentified Analyst: Good morning. This is [indiscernible] on for Julie. Thank you for taking our questions. The first one is for Dr. Paloma what proportion of patients with AATD have mostly lung or mostly liver manifestations versus both? I guess we are just curious because there is a genome editing company developing two separate drugs, one for lung and one for liver. Thanks. And I have a follow-up.
Paloma Giangrande: Yes. So there is usually the liver manifestations show up earlier. So, those patients tend to be younger patients and the lung manifestations are present mostly in the older population. My understanding is that it’s really up 50:50 and it’s also due to lifestyle. So with as patients are aging, many of these patients will then develop, move into the lung manifestations.
Paul Bolno: So, you should think about it, I think as a really important nuance that earlier point that Paloma was making around these diseases and also transgenic why we are focused on those VZ patients. So, those VZ patients end up with lung and liver manifestations. So, we purposely made a decision not to progress in MD patients and starter those that have predominantly liver disorders, but really focus on those patients have both and that gradation happens over time. As you point out, there are approaches that focus on lung. There is approaches that focus on liver. The way we have designed a single program is really to tackle both aspects of the disease at its inception. And therefore, as we shared with the data today, at we directionally, pre-clinically showing now, what we were wanting to see whether it could translate is do we clear the liver aggregate means that, it’s reinforcing our approach of having a single therapeutic that treats both lung and liver manifestations, which would be the VZ patient population.
Unidentified Analyst: Great. That’s very helpful. Thank you for that color. And then my final question is on the cash runway. You mentioned the runway guidance of second quarter ‘23 does not include milestone payments from Takeda. How would you contemplate any options from Takeda that could extend the runway? Thank you.
Paul Bolno: We appreciate the question. I mean we have always taken it upon as not to anticipate milestone payments on runway. That’s not to say that the data we believe coming in could be consequential in generating those. But we plan our runway guidance without that. As we said earlier, in the call today, there is a lot of activity on both the partnering front, as well as in leveraging manufacturing. We are active in the manufacturing process. We think about that as a business. So, as we look over the course of 2022, we do see there as multiple levers beyond the opt-in payments with Takeda that continue to extend our runway position. You also have to remember too just one other feature. And it’s important to take everybody back to which is the way that Takeda is structured is it’s not just a milestone deal. It also has at that point of the milestone we paid for an opt-in. It also comes with a 50-50 R&D split, which is obviously opt-in. And so therefore, there is a corresponding reduction in burn for those studies, in addition to the milestone payments that will come.
Unidentified Analyst: That’s great. Actually, if I may squeeze one more in on the GMP facility, what excess capacity that you do have and what criteria for partners selection would you target? And would it be possible to see selection this year?
Paul Bolno: I lost the last sorry, it was drafted. Can you repeat the question?
Unidentified Analyst: Sure. I just wanted to get an idea of your excess capacity at your GMP facility, and what’s the criteria for partner selection would you target? And would it be possible to see selection this year?
Paul Bolno: Yes. So I mean, the partner – the way we are thinking about partnering has a variety of aspects that would enable us to fill capacity. So, we can bring in a number of programs, again, without offsetting the capacity utilization for Wave in our programs. And we are already executing on the discussions across a whole wide variety of oligonucleotide therapeutics, whether they would be CRISPR guide strand, double strand RNA antigens. So, the opportunity to really think about following through on our mission, which is assuring that patients get access to therapies, there is a whole way of leveraging our manufacturing excess capability to do that, and lever that. We are excited about advancing new sciences. We have done that with stereopure oligonucleotides, which was viewed at the initial onset of Wave as a challenging manufacturing hurdle, which we overcame. So, we can bring that complex process development work to novel therapeutics. And so we will provide additional color on this over the course of the year. But the team is working hard.
Unidentified Analyst: Excellent. Thank you.
Operator: Thank you. Our next question comes from Paul Matteis with Stifel, Please proceed.
Unidentified Analyst: Hi, there. This is Alex on for Paul. Just a couple questions from us. I think starting for Mike, it sounds like you have been able to look at least on a somewhat blinded basis, initial plasma concentrations in these studies in patients. I wonder if you could comment on where those are relative to some of the preclinical models, where you have seen efficacy. And then quick financial question, underlying your runway assumptions, I wonder if you could talk a little bit about OpEx assumptions for 2022. Thanks.
Paul Bolno: Mike, do you want to take the first question?
Mike Panzara: Yes. So, the plasma concentration data that we shared, as you see in DMD, it’s an open label study. So, with the open label study, we have been able to look at these data and make the comparisons that you are asking for about preclinical versus clinical species – versus clinical, basically data. So, we have not looked at the – across studies to make these comparisons as of as of yet, and something that is ongoing. We would basically, throughout these studies, there is a small group of employees that support the committee, and material changes in the study would lead to actually pulling some of us in, I mean I am constantly reviewing safety data across the programs and remain available to work with the data safety monitoring board. So and there are going to be instances where I am exposed to unblinded information about we have really tight firewalls in place for that should that occur, and if I am exposed to data that would result in a material tension study, with this would lead to involvement of other members, leadership inappropriate other disclosures, but that’s our process.
Unidentified Analyst: Yes. I guess asking another way, I think that could you say at this point that your doses in patients based on your modeling assumptions, at least going into it should be at the same levels, were consistent with what you have seen with efficacy within preclinical models?
Paul Bolno: I think just to follow-up on where Mike was going. I mean I think that’s exactly the point that we were excited about sharing today as it’s related to that initial PK data on N531. And to Mike’s point, given that it’s open label, so that we can make that assessment. We are seeing and that was the point Mike was trying to make with the data today which I think is affirming that we are seeing this translation of PN chemistry between rodent models, non-human primates, and then clinic now it’s early, its open label. But at least that evaluation was done simply to see, are we on a trajectory and a path? And I think it’s nice to see we are, as Mike also said, more to come on the robust side of the data, but that’s great.
Unidentified Analyst: And then on OpEx thoughts for 2022?
Paul Bolno: So, we seem to be consistent, I mean Kyle, you can go through the difference.
Kyle Moran: Yes. I mean I think you can project our OpEx consistent with what we have spent in Q4, where there is a little bit of a tail on the proceeding HD studies that may come into Q1. But generally Q4 is it should be consistent.
Unidentified Analyst: Great. Thanks so much.
Operator: Thank you. Our next question comes from Mani Foroohar of SVB Securities. Please proceed.
Mani Foroohar: Hi guys. Thanks for taking the question. I wanted to circle back a little bit on your approach to attract additional cash flow from your existing manufacturing investments. Can you tell me about as you continue to progress your clinical trials, assuming they continue to move forward into later stages require more products, etcetera? How do you prioritize your capacity between what will presumably be contractual obligations to partners? And how should we think about modeling that, is it will be driven in terms of absolute volume of products, number of lines, etcetera. These aren’t highly surgical products. So, you can – where you can switch your capacity immediately. So, just help us think about that.
Paul Bolno: Yes. I think the one piece that I will call it one of the core pillars of doing anything is not to distract from our operating capacity that we keep in our facility. We build that. We have guided that. We know and model that with that capacity is by ourselves. And as you may or may not recall, as part of the original decayed agreements, we retain manufacturing rights through commercialization. So, there is a capacity modeling that we stay within for Wave and our pipeline as we move forward, both ourselves and potential partners, therapeutic partners. That being said, when we built this facility from the beginning, we have the ability to add on additional capacity to the existing train. We built this facility originally with the intention of going back to where we were with the pipeline prior to be able to actually expand and double the capacity within the existing footprint of this facility in Lexington. So, we had built with manufacturing in mind going forward. We know what our operating capacities need to be going forward. But what we are modeling is where that excess and additional capacity could be brought on how to model that with programs that we think can fill that in a way that would be complimentary to the work that’s ongoing, so not just disruptive of that. How those different those programs come on board is the subject to the work that’s been ongoing with the team. And so obviously, we will share more on that. But we do model having that move forward. We have got a lot of flexibility in our facility. We also know that we can have flexibility with existing CMOs. I mean one thing we have seen the space, a lot of CMO capacity at the commercial scale, so large scale and late stage. I think what’s unique about the facility we built here in Lexington, is really that ability to do work on those smaller clinical scales, right. So, being able to support into Phase 2, right that range of work is really what’s unique about our facility. And so obviously, it’s been helpful for us not to have to make adjustments to our clinical timelines, based on what’s happening in the external world and manufacturers. And we see that as an opportunity to accelerate more medicines for patients. And at the same time by doing that work, being able to bring additional potential revenue into Wave, and to think about how we bring on additional capital into Wave to offset the cost of operating the manufacturing facility. So, there is a lot of things we are thinking about as we think about 2022 and how to plan for that, how to model that, how to bring in additional excess capital around that beyond revenue. So, that again, that will be the work that – stay tuned, we will be sharing a lot more as we move through 2022.
Mani Foroohar: Alright, that’s helpful. Thanks, guys.
Operator: Thank you. Our last question comes from Luca Issi of RBC Capital. Please proceed.
Luca Issi: Great. Thanks so much for taking my questions. I have two quick ones here. One on Huntington, on the competitive landscape, obviously, we have seen Roche and Ionis not giving up on their molecule. They are starting a new Phase 2 in younger patients with low-disease burden following their postdoc analysis. So, just wondering what was your reaction to that news and how you are thinking about implications for your program. And then maybe on CNI, I think in addition to polyGP in the CSF, you are also looking at the P-75 biomarker in the urine. Can you just expand a little bit more on the significance of that biomarker, and maybe what you are hoping to see there? Thanks so much.
Paul Bolno: Yes. And I will give a quick discussion on the competitive landscape and then transition to probably the best person to address it is Mike, who is sitting at PHDI. But, like you. I was, it was interesting to see Roche moving back into the clinic, I think it reinforced for us that they made these decisions based on a belief that oligonucleotides can distribute in the CNS, and that they have an approach. I think what we continue to see in the competitive landscape, and as Mike spoke to earlier, and I hope we will share more on again is that we do see this migration to opening up the discussion around recognizing that the significance of wild type protein. And therefore when we look at the competitive landscape, the real distinction is not on modality, gene therapy, or oligos. It’s selective approach that’s wild type sparing, and knock down the mute and toxic protein and pan silencing on the other side. And I think as we move forward, we are excited about continuing to advance an allele specific therapy and Huntington’s. But, Mike, if you want to continue on Huntington’s and then take the C9 question.
Mike Panzara: Yes. So, no, I think to echo Paul’s point is that, I think I can tell you that at least at this meeting, there was – there is interest in the fact that the approach is now that they are taking to that younger population, again, it’s reinforced leaf in this particular in this particular approach of intrathecally drug administration, their confidence that they are engaging target. Now, it’s an aspect of optimizing. But to Paul’s second point, there is also a lot of discussion that that may not solve their issue, which is not our issue, which is the issue of bringing down wild type Huntington along with mutant Huntington. I think that it’s still a big discussion here and a lot of interest. It’s their restriction to a subpopulation has actually led to an enormous focus on us and patient participation in our study as a way of maybe dealing with some of the challenges that they have been dealing with. So, there is – it’s really been interesting to see the number of physicians come to me at this meeting and want to know how the trial was going, patient groups wanting to see how patients can get access. So, it has had an overall improvement in the feelings around the approach, but also Wave’s particular approach and the potential that it offers. Involving C9, you mentioned about the P-75, I mean this is a biomarker that has been associated with potentially earlier indications of progression than and more associated with predicting progression in these patients in particularly in the ALS population, but potentially something we want to understand in the FTD population. So, it’s potentially more associated with actual functional decline than some other biomarkers. So, we have included in the study to see if we can get a better understanding of how it would relate to the deeper work, typical one people talk about, like the poly-GP and the neurofilament. And it’s super easy. It’s in the urine. So, it’s something we are just exploring as a potential guide for us for hopefully future development.
Luca Issi: Got it. Thanks so much, guys.
Paul Bolno: Thank you.
Operator: Thank you. I would now like to turn the conference back to Dr. Paul Bolno for closing remarks.
Paul Bolno: Thanks everyone for joining the call this morning to review our fourth quarter 2021 financial results and corporate update. And thank you to our Wave employees for their hard work and commitment to patients. Have a great day. Take care.
Operator: This concludes today’s conference call. Thank you for participating. And you may now disconnect.